Executives: Eduardo Fleites - Director of Investor Relations David James Henshall - Chief Financial Officer, Principal Accounting Officer and Executive Vice President of Operations Mark B. Templeton - Chief Executive Officer, President and Director
Analysts: Heather Bellini - Goldman Sachs Group Inc., Research Division Adam H. Holt - Morgan Stanley, Research Division Bhavan Suri - William Blair & Company L.L.C., Research Division Stewart Materne - Evercore Partners Inc., Research Division Philip Winslow - Crédit Suisse AG, Research Division Daniel H. Ives - FBR Capital Markets & Co., Research Division Gregg Moskowitz - Cowen and Company, LLC, Research Division Steven M. Ashley - Robert W. Baird & Co. Incorporated, Research Division Kash G. Rangan - BofA Merrill Lynch, Research Division Walter H. Pritchard - Citigroup Inc, Research Division Mark L. Moerdler - Sanford C. Bernstein & Co., LLC., Research Division Brent Thill - UBS Investment Bank, Research Division Michael Turits - Raymond James & Associates, Inc., Research Division Edward Maguire - Credit Agricole Securities (USA) Inc., Research Division Richard G. Sherlund - Nomura Securities Co. Ltd., Research Division James Derrick Wood - Susquehanna Financial Group, LLLP, Research Division
Operator: Good afternoon. My name is David, and I will be your conference operator today. At this time, I would like to welcome everyone to the Citrix Systems First Quarter 2012 Financial Results Conference Call. [Operator Instructions] I would now like to turn the call over to Mr. Eduardo Fleites, Vice President of Investor Relations. Sir, you may begin your conference.
Eduardo Fleites: Thank you, David. Good afternoon, everyone, and thank you for joining us for today's call, where we will be discussing Citrix's first quarter 2012 financial results. Participating in the call will be Mark Templeton, President and Chief Executive Officer; and David Henshall, Executive Vice President Operations and Chief Financial Officer. This call is being webcast with a slide presentation on the Citrix Systems Investor Relations website. And the slide presentation associated with the webcast will be posted immediately following the call. Before we begin the review of our financial results, I want to state that we have posted product classification and historical revenue trends related to our product groupings to the Investor Relations page of our website. I'd like to remind you that today's conversation will contain forward-looking statements made under the Safe Harbor provisions of the U.S. Securities laws. These statements are based on current expectations and assumptions that are subject to risks and uncertainties, such as the impact of the global economic climate, uncertainty in the IT spending environment, risks associated with our products, acquisitions and competition. Obviously, these risks could cause actual results to differ from those anticipated. Additional information concerning these and other factors is highlighted in today's press release and in the company's filings with the SEC, including the risk factor disclosure contained in our most recent annual report on Form 10-K, which is available from the SEC or on the company's Investor Relations website.  Furthermore, we will discuss various non-GAAP financial measures as defined by the SEC's Reg G. A reconciliation of the differences between GAAP and non-GAAP financial measures discussed on today's call can be found at the end of today's press release and on the Investor Relations page of our website. Now I would like to turn it over to David Henshall, our Chief Financial Officer. David?
David James Henshall: Thanks, Eduardo, and welcome to everyone joining us today. As you see from the release, we continue to have great momentum across the business, delivering total revenue up 20% from last year; adjusted EPS of $0.59 a share; deferred revenue up $23 million, sequentially; and $243 million in cash flow from ops, an increase of 53%. We're driving market leadership across Desktop Virtualization, delivering powerful new technologies in cloud networking and expanding the breadth of our SaaS products. All trends that can be clearly seen in the results.  From a geographic perspective, the Americas region had a revenue growth of 16% from last year, up $252 million. The results within the geo were fairly balanced, with strength coming from both Desktop and NetScaler products. The Americas had 18 individual transactions over $1 million each compared to 11 a year ago, really reflecting the more strategic engagement that we've built with customers. On a vertical basis, only the U.S. federal phase was somewhat uneven. In EMEA, revenue was up 20% to $160 million. Performance was strong across the region in a number of different geos especially with big deals. The team closed 7 orders over $1 million each a number of multi-year commitments, including a few very large deals in the government and financial services sector. And finally, Japan and APAC remain our fastest growing markets, combining for 40% total revenue growth and 48% growth in new product license. These regions are executing really well, and will continue to outpace the rest of the business throughout the year. So next, let's look at our Q1 results within our primary markets. First, our Desktop Solutions business grew 17% over $338 million including license growth, that was also at 17%. For some context on this business, there's a few metrics that I think really help demonstrate the market adoption we're seeing and the value that customers are placing on Desktop Virtualization within their infrastructure.  In Q1, there were 19 different $1-plus million deals for the Desktop products, representing customers in technology, telecom, government, financial services and other verticals. We transacted with over 3,000 different customers, including 110 deals for more than 1,000 seats of Desktop and 26 deals of more than 5,000 seats, which is an increase of over 50% year-over-year. New licenses contributed over 90% of the product mix, with the remaining 10% coming from existing customers trading up from XenApp. And while still a modest number in total revenue, we now have over 1,600 cloud service providers delivering several hundred thousand Desktop licenses as a subscription service to their own customers. So Desktop Virtualization is playing an increasingly prominent role in enterprise IT and serving as an enabling technology to accelerate business imperatives. For example, in Q1, a leading provider of health care IT, a 50,000 XD licenses to further support their hosted services practice, allowing health care providers to concentrate on patient care instead of worrying about IT. Or a large telecom equipment manufacturer with over 100,000 employees worldwide using XenDesktop and NetScaler appliances as a solution to enhance data security at the Desktop. Or a government agency, which purchased 4,000 XD licenses plus some NetScalers to build a computing solution that provides access to multiple isolated secure networks from a singleton client, lowering costs and enhancing security, all while improving productivity. We're increasingly engaging with customers at this level as the conversation has moved from technology to business enablement. And over the past year, we've focused on reducing the cost of Desktop Virtualization as really a driver for wide-scale adoption, and demonstrate innovation that drop the capital cost of XenDesktop below that of physical desktops in many cases. We're also innovating rapidly around performance, management and simplicity to further extend our differentiation in the market.  Next, in our Data Center and Cloud business, total revenue was up more than 28% to $100 million with products revenue increasing 22%. Book was again led by NetScaler, where products revenue was up 46% year-on-year, offsetting declines in both the standalone SSL VPN and WAN optimization solutions, both of which are increasingly being sold as add-on modules on top of NetScaler. Our networking success is coming from a number of different areas. First, we continue to see traction driving across all motion into our enterprise account base with over 400 Desktop deals, including NetScaler as part of the solution. Second, new high-end SDX platform is gaining momentum with service providers and large enterprises, 20% sequentially, and now representing more than 10% of total NetScaler license.  Third, we're seeing strong new customer growth in both the appliance and VPX versions of our products, adding more than 600 net new accounts in Q1.  And finally, from dot com accounts, that are building of infrastructure to support large cloud-based service offerings. So overall, the Data Center and Cloud business had a good start to 2012. Our networking solutions are growing faster than the underlying market. And we're very excited about the recent announcement of NetScaler 10, a platform that brings a new level of performance and cost savings to both enterprise and carrier networks. Within our Software as a Service business, revenue was up 21% from last year. The collaboration products, which account for over half of our total SaaS revenue, increased 29%. In general, we saw steady gains in new customer acquisition from both of the direct and online channels as well as modestly higher retention rates within the subscriber base. Geographically, the investments we've been making to expand internationally are showing good results, with revenue from these markets up 50% and now accounting for about 15% of the total mix.  We also continue to have a focus on mobile collaboration and on powering mobile work styles. So in Q1, we released HDFaces videoconferencing for GoToMeeting on the iPad. We began integrating ShareFile, our data sharing solution, into the enterprise sales motion. We announced the acquisition of Podio, a social team collaboration platform. And Mark will discuss each of these in greater detail. So turning to expenses and operations. In Q1, adjusted op margin was 23.5%. This is ahead of our guidance due to the strong revenue performance and the timing of certain investments especially hiring, which ramped lower than we originally anticipated. In total, during Q1, we added about 140 people to Citrix, which brings total headcount to over 7,000. We do expect that the pace of hiring will increase in Q2 and remain focused on our expanding our go-to-market capacity and customer touch through enterprise account managers, consulting and greater tech-support capacity; but also, of course, on product innovation, to bring the market new technologies, as well as improving integration across solutions to drive simplicity, differentiation and customer experience; areas that help accelerate adoption. The last item I want to mention is cost of goods sold. As forecasted, we've seen a slow but steady increase in COGS as a percent of revenue. And the main reason here has been the mix of revenue as we drive higher contribution from consulting services, SaaS and networking.  Additionally, we also adjusted our internal methodology for allocating certain IT costs from OpEx up to COGS to really just more closely align with employees that are actually consuming these services. So looking forward, we expect that adjusted gross margin will be in the range of 88% to 88.5% for the balance of the year. Turning to the balance sheet. Cash and investments increased to $1.6 billion, driven in large part by record cash flow from operations. As I mentioned earlier, cash flow in the quarter was $243 million, bringing the trailing 12-month total to over $762 million, an increase of 21%.  The other item of note on the balance sheet is deferred revenue. Our deferred balance at the end of Q1 was $983 million, up 25% from a year ago. The $23 million sequential increase reflects the evolution in customer engagement that we've had, we've really talked about over the past few quarters, as several initiated multi-year commitments, either for term-based licenses or multiyear subscription agreements. So overall, looking at the business, very strong Q1. We're executing well. We're seeing growth in all our primary markets, and we're making the investments necessary to expand our leadership position. So finally, I'd like to talk about our current outlook and expectations for 2012. The activity metrics and pipeline continue to be strong. We've remained focused on delivering financial results, while investing to expand long-term capacity across our main businesses plus the new markets we entered over the past 3 quarters. While we do expect to see some volatility in the spending environment, specifically within the U.S. Fed and EMEA, we're comfortable raising our 2012 outlook based on the strength of Q1 and the continuing momentum we see across the company.  Also, consistent with our guidance over the past 2 quarters, we're currently planning to run the business with an adjusted operating margin percent that is flat to 2011, which really gives us the capacity to invest across 3 main areas: Go-to-market, to increase our market position and revenue growth around the world; innovation, to extend differentiation; and of course, to ramp the new acquisitions we made last year. As we said on the January call, these acquisitions will be dilutive to consolidated earnings for the first half of the year as we build our capacity and then accretive by Q4. So the full year 2012, our current expectations have increased to total revenue in the range of $2.53 billion to $2.56 billion, and adjusted EPS between $2.75 to $2.79 per share. And for the second quarter of 2012, we currently expect total revenue to be in the range of $605 million to $615 million, and adjusted EPS between $0.58 and $0.59 a share.  So now, I'd like to turn it over to Mark to give you additional details on the quarter's performance and discuss our ongoing businesses. Mark?
Mark B. Templeton: Thanks a lot, David. 2012 is clearly off to a strong start. I'm really delighted with our Q1 results, building on the momentum we gained throughout 2011. I'd like to thank the entire Citrix team for great execution across strategy, innovation and operations. I'm especially pleased with the continued growth of XenDesktop that David discussed. From here, we're taking Desktop Virtualization to a new level with our upcoming Synergy announcements and in partnership with Microsoft, as they introduce new versions of Windows Server, System Center and Azure, along with Windows 8 desktops and tablets.  In addition to Desktop Virtualization, we're making great strides in Web collaboration and cloud networking, where our products are #1 or #2 in the world. Last year, 7 strategic acquisitions strengthened those positions and opened adjacent growth opportunities for data sharing and cloud platforms. These new euro markets are growing at double-digit rates, estimate as a top $16 billion by 2015, fueled by 3 powerful continuous forces: The imperative for mobility; the enterprise cloud evolution; and the build-out of hosted cloud services. Next, I'd like to briefly highlight a few of the new things we're doing to leverage these forces for growth. First, is ShareFile. We've just completed our first full quarter in the cloud data sharing market with ShareFile, executing incredibly well, bringing this team on board and growing it. ShareFile enables secure cloud-based document sharing across all your devices, securing information while enabling complete mobility. ShareFile growth hasn't missed a beat and in fact, has accelerated, competing and winning on security, simplicity and service in key vertical and departmental markets.  We're also seeing healthy interest from our enterprise customer base for the Citrix brand and smooth integration with XenDesktop gives us a strong advantage and is driving a dramatic increase in pipeline of 6- and 7-figured ShareFile deals. This market is highly fragmented from start-ups to industry giants. Our focus on the business user for the Follow-Me-Data vision is resonating. And we're finding that our trusted brand differentiates us from start-up players, while the maturity of our product sets us apart from larger, late entrants. We think of all of this as iCloud for business, because it's a platform where people, devices and apps securely and seamlessly share data. As David mentioned, we're seeing excellent growth share gains from the Web Collaboration market, especially after the addition of HDFaces videoconferencing with GoToMeeting. As a natural extension to GoToMeeting style collaboration, we recently announced the acquisition of Podio, a cloud-based team collaboration platform with all the power of social. Podio brings together all the tools and content that teams need for the new cloud euro work styles, where mobility is paramount, where teams extend beyond the firewall and where simpler is better.  Podio integrates with many popular cloud-based data storage, collaboration and content tools, including Dropbox, Google Apps, Google Docs to name a few. As you might guess, we'll have a few new ones to add to that list at Synergy. A truly unique feature is the built-in Podio app market, filled with hundreds of free apps that simplify project workflows for all the most common business processes. Users can even customize or build their own workflow apps. No training, coding or pocket protectors required. The way I like to think about Podio is team project collaboration for the Facebook generation, social, organic and connected. It's not just a place you talk about work, it's a place where work gets done.  I'm really thrilled about the powerful combination of GoToMeeting, ShareFile and Podio and what the move to mobile is all about. The move to cloud services is just as profound when it comes to market and growth potential. We have great momentum with Citrix CloudStack, with over 100 customers in production cloud deployments, running commercial clouds that are generating well over $1 billion in revenue today for some of the bigger brands in the world including Korea Telecom, GoDaddy, Zynga and many others. No other cloud platform in the industry even comes close. CloudStack adoption is a part of a massive build-out of Cloud Infrastructure taking place today, a build-out led by open-sourced technologies that are first proven at scale by the likes of Zynga, Facebook and Google, then made broadly available under an open-source license.  Now that CloudStack has been proven at scale in some of the world’s fastest and growing clouds, we're taking a page from that Playbook by moving it into the Apache Software Foundation, home of the world's most successful, open-sourced projects like Apache Web Server, Tomcat, Hadoop, Cassandra and Hive. We believe this move will add significant energy to CloudStack's momentum, accelerating the development of OpenClouds and helping customers steer clear of proprietary lock-in approaches. We will, of course, be active contributors to Apache CloudStack along with other great developers. And we'll deliver a commercially supported release of the technology as the centerpiece of our Cloud Infrastructure portfolio, complemented by XenServer, CloudPortal and NetScaler.  At Synergy, you'll hear more a lot more about how all this comes together in a very powerful way to drive thousands of anything as a service clouds. The cloud network is at the delivery core of scalable cloud services, providing amazing growth of Citrix NetScaler. NetScaler already delivers the majority of the world's largest Internet sites and is best positioned to benefit from the cloud build-out.  Last week, we launched NetScaler 10, a landmark release that brings the power of cloud networking to customers of any size. It includes groundbreaking price-scale technology, making it really easy to scale delivery networks up and out. Scale up as you grow without buying new hardware. Scale in by consolidating multiple networking functions into a single appliance. And scale out to extend capacity at a far lower cost by adding new NetScalers in simple Amazon-style clusters. NetScaler's new TriScale technology leapfrogs the competition by scaling up to a stunning 1.4 terabytes in a single cluster. That's more than 8 times the capacity of our largest competitor. We'll be talking a lot more about NetScaler 10 and a lot more about everything Citrix at Synergy 2012 in 2 weeks. And I'd like to personally invite you to come. It's the premier event on the convergence of cloud virtualization, mobility and networking, taking center stage at San Francisco's Moscone on May 9 to 11. As always, we'll be introducing the future with some excellent announcements, breakthrough technologies and new partnerships, along, of course, with a few surprises. You can register at citrixsynergy.com. It's definitely going to be another sell-out event. I hope you'll join us. In closing, we're executing well, seeing growth in all our primary businesses and making the investments necessary to deliver shareholder, customer and employee value. We're driving unprecedented improvements in the way people use computing, the way services are delivered and how it all works behind the scenes. I believe we're well prepared for the road ahead where mobility, connectedness and cloud services are as fundamental as the air we breathe. And now, I'd like to open it up for questions.
Operator: [Operator Instructions] First question comes from the line of Heather Bellini from Goldman Sachs.
Heather Bellini - Goldman Sachs Group Inc., Research Division: You mentioned that you've been able to take down the costs associated with Desktop Virtualization deployment. I was wondering if you could share with us kind of how steep, how fast do you see that cost curve going down from here? If there's anything you can share with us about how much cheaper you think the solutions can get from people to help spur adoption.
Mark B. Templeton: Heather, this is Mark. In the Synergy in Barcelona, we put out some technologies and a roadmap along with partnerships, where we predicted that by Synergy San Francisco, we'd see the marginal cost of a Desktop in a VDI-type model, an overall Desktop Virtualization infrastructure would actually be less than the marginal cost of a physical Desktop. And we still believe that to be true. And that'll come from the combination of cost reductions, the end point cost reductions, obviously in the form of greater densities at the server, and cost reductions in terms of storage in the back end. And I think we'll be able to demonstrate that in a couple of weeks at the conference.
Heather Bellini - Goldman Sachs Group Inc., Research Division: I guess I was just wondering as a follow-up to that is just how -- are you just starting to see that curve where you can really start to see a benefit if you look out a few years down the road, where you could really get an infection and kind of make it a no-brainer for this transition to occur.
Mark B. Templeton: I think cost is one of the things, but just one of the things that needs to happen around the sort of no-brainerness. And I think we're doing a number of things related to getting there, including making the migration of legacy apps much, much easier. Certainly, we saw some great uptick in interest in AppDNA and that acquisition from Q4. There's another set of obstacles around overall strategies for Desktop transformation. And we're investing heavily in services, support and consulting, et cetera to do that. So I think there are a number of things that happened to drive greater velocity of adoption, not just the cost of -- the marginal cost of the Desktop. And I think we’re working across all those fronts, and we'll continue to see, I think, acceleration in the momentum in the overall DV space.
Operator: Your next question comes from the line of Adam Holt from Morgan Stanley.
Adam H. Holt - Morgan Stanley, Research Division: My first question is about NetScaler, which continues to grow meaningfully ahead of consensus expectations. And David, you laid out 4 drivers that seemed to me they'd be drivers that will persist for the next several quarters. Can you talk a little bit about outlook there, and specifically your expectations around been able to maintain above-market growth?
David James Henshall: Sure, Adam. I think in general, all the things I highlighted have been trends that we've talked about the past couple of quarters and they feel like they're really continuing to deepen. And we've been very excited about everything, from our increase in go-to-market capacity, we've talked a lot about just improving execution, cross sell, et cetera. We're also increasing total capacity. I mean, we have seen good uptake in markets outside the U.S. that had frankly been a little slower to adopt some of the networking technologies. So I think we've got a number of growth engines beyond just the ones that I talked about. As far as the outlook for the business, I think, certainly in the short term, we've got the capability and believe that we can outgrow the market over the next few quarters. And as we guide to the overall numbers, I mean, we'll be looking at the total Data Center and Cloud business in the aggregate of course. And that's the way we talk about it. That should still be in north of 20% range in 2012.
Adam H. Holt - Morgan Stanley, Research Division: And just a quick follow-up on the model. You had another quarter, where billings outpaced revenue and cash flow meaningfully outpaced operating income. As the model transitions as you suggested, do you expect that to continue, that relationship between billings and revenue and cash flow and operating income?
David James Henshall: Yes, I do. I think that definitely, deferred revenue will grow this year. You should expect that bookings will outpace revenue. And from a cash flow standpoint, we had a great cash flow quarter, as you mentioned. I think trailing '12 cash flow is up more than 21%, which yields over $4 per share of cash flow. We're driving that actively right now and it's something that we're very focused on. So I'd love to exit the year with cash flow from operations at a goal north of $800 million.
Operator: Your next question comes from the line of Bhavan Suri of William Blair.
Bhavan Suri - William Blair & Company L.L.C., Research Division: It feels like Europe seems to be doing better for you than it has for a number of other folks. Any changes you've made in Europe -- obviously, you hired a new head of Europe. But are there any other changes that are that are going on in the region, Or anything you're seeing that, that's different than what everyone else is seeing?
David James Henshall: Yes, Bhavan, as you know, we've been pretty cautious on EMEA for some time, and there's, obviously, a lot of macro-driven business confidence issues. And in my remarks, I pointed out that the expectations should be for a little lumpiness there, just driven by those effective factors. But I will say that we've been just maniacally focused on the things that we can control. That is around execution, building pipeline, focusing on customers and large deals. And I think you saw that in Q1. We had a number of big deals. The total big deal contribution from EMEA was up more than double from what it was a year ago. So that's really showing how we're executing on a strategic level. But it's still a little bit uneven on the kind of low- mid-end business, which is more economically sensitive, more related to hiring and things like that. So again, we'll focus on what we can control. We feel good about the execution. The teams are driving good performance, but it's safe to expect a little bit of lumpiness there throughout the year.
Bhavan Suri - William Blair & Company L.L.C., Research Division: Okay. And then turning to the SI channel, obviously, that's been an important driver in the past. Any color on that this quarter and sort of a percentage of XenDesktop deals were driven by SIs?
David James Henshall: Yes, SIs actually performed really well in Q1. As you expect, most of the large deals tend to be associated with SIs at some level. So we had great contribution from Hewlett-Packard, IBM, Fujitsu, just to name the 3 big ones. I'd say, as far as percent of bookings, it's certainly the highest it's been in some time. The actual contribution in dollar terms was up more than 100% year-on-year. But again, that's one of those that does tend to be fairly lumpy, simply because it's associated with big deals. So it will bounce around quarter-to-quarter, but the trend is absolutely up and to the right. And in the aggregate, I think we've trained close to probably 10,000 people now across all of the SIs. So it's a constant process we're working at each and every quarter, but it's certainly moving in the right direction.
Bhavan Suri - William Blair & Company L.L.C., Research Division: Great. And then one last one for Mark on ShareFile. It's interesting that you're seeing enterprise interest in ShareFile and enterprise sales forces outselling Online Services for the first time. Two things, I guess: one, just sort of any color on sort of what the enterprise is looking to do. And are they comfortable with the cloud for this offering? Or is there a plan to do -- I mean it's a licensed offering here. And then two, competition space with Google's Drive and Microsoft SkyDrive seems to be heating up as a way of sharing and collaborating. Just sort of a sense of how they sort of fit in, in the space and how you play with them.
Mark B. Templeton: Well, just overall, the success we're seeing on the enterprise side is really evidence of the adjacency of doc and data sharing to apps and desktops. So it's very natural part of the conversation when you're talking about virtualizing desktops and apps. So there's great comfort in the sales organization in doing that, and customers have the interest. That interest, obviously, is heavily stimulated by the explosion of devices, a need to go mobile with documents but yet secure. And at the same time, on the other side, great concern around governance, control, et cetera and sort of the evidence of Dropbox into the enterprise. And this actually gives them the kind of control point that they're looking for to feel comfortable about mobility and sharing, but governance and compliance and control. The interest around cloud will wane. So there are some customers that just say, "Look, I can't put documents in the cloud and that's just the way it is right now, because of my own comfort and regulatory issues." We are working closely with them to imagine solutions to that problem. And so what we're focused are the customers that really have the cloud mentality and comfort. And that seems to be a very rich opportunity in our install base of customers. And as far as competition goes, it's a huge market. It's early stage. As I mentioned, it's fragmented. And when we look at what's happening, Google, Microsoft, the Apple with iCloud, Dropbox, et cetera, it's more and more clear that there's a universe around personal and consumer that has massive opportunity and upside for those huge brands. And at the same time, on the other side, is there's a market for those that focus on teams and business, which is really our focus along with other types of players. And obviously, our strategy is to make ShareFile and document sharing part of the whole mobile work style solution that includes Podio, GoToMeeting, all of the pool we can get with virtual desktops and apps and bring all that together, and that will be our differentiated approach to the marketplace, and we think it's got a lot of legs.
Operator: Your next question comes from the line of Kirk Materne of Evercore Partners.
Stewart Materne - Evercore Partners Inc., Research Division: I guess just 2 really quick ones. First, just we've talked a lot about bigger Desktop deals. I'm just kind of curious how some of the demand at those are mid-tier levels coming, now that you had VDI-in-a-Box out for 3 or 6 months? And then second, Mark, I was just curious if you could just offer some comments around the decision to sort of go with CloudStack on your own and pull out the OpenStack and some of the thought process around that.
David James Henshall: Kirk, this is David. Let me take the first part of the question. As far as the breadth of adoption we're seeing on Desktop, I'd point you back to the some of the metrics that I called out in my script. We've got just so many hundreds of customers now in that 1,000-seat-plus range, and a very large number in 5,000 or 10,000. So those are covering customers across pretty much every vertical and every size. So really, it's the same basic issues being addressed, mobility, security, management, better agility in their own infrastructure, things that will accelerate their own business initiatives. As far as the new products like VDI-in-a-Box, that's -- we're really just starting to ship that right now. We got our teams trained up in the January time frame. We've got a new agreement with Dell that we announced fairly recently. And I think that's going to start shipping shortly. So probably in the next 6 months, we'll have much better actual data to talk about in terms of performance there.
Mark B. Templeton: As far as the CloudStack decision, Kirk, basically, if you sort of look at this objectively, OpenStack community, which we were part of founding, a lot of visibility and a lot of big brands involved. But on the technology side, immaturity, and a slow trajectory towards maturing as a platform that you can actually really run high-capacity, high-performance Cloud Infrastructure and CloudStack now has to that uniquely. And we're -- as I mentioned in the prepared comments, that we're hovering over 100 in-production clouds from general purpose kind of infrastructure and service clouds to more special purpose types of gaming clouds. And the issue there is the demand in the marketplace is around design wins and it's now. And so we felt like we needed to do everything we could do to accelerate CloudStack. And to do that, we decided to join the Apache Software Foundation, where we think we'll get a lot of acceleration, a much larger developer community, one that has a track record of really producing some pretty outstanding open-source projects -- as I mentioned Hadoop and TomCat and Web server and so forth. And so it's really that simple, and that will help us, a, package a commercial product that will certify support, et cetera and support the kinds of customers we're already supporting; and b, allow us to then complement that with CloudPortal, with NetScaler, with XenServer, with some of our other products, so that our customers and those that build clouds on CloudStack can actually win in the marketplace. And what that means is acquire profitable customers and grow. And that's what we're -- that's our focus is to help customers like KT and IDC Frontier and GoDaddy, Zynga and many, many others achieve their goals. And that is growth and profitable growth through the differentiation in providing cloud services, so it's pretty straightforward.
Operator: Your next question comes from the line of Phil Winslow of Crédit Suisse.
Philip Winslow - Crédit Suisse AG, Research Division: I just have a question about concurrency ratios. I know you guys have kind of talked about this in the past, hovering around 3-ish. But with the proliferation of connected devices, high-speed broadband, et cetera, and people using XenApps and XenDesktop to send apps in Desktops out to more and more devices and, basically, people logging in more. What are you seeing in terms of concurrency ratios to your customers? So in other words, how should we be think about sort of the base of users growing of Citrix applications versus call off [ph] the penetration or the paid-for level inside that?
David James Henshall: Yes, Kirk (sic) [Phil], this is David. I'll take the first crack at it. I think concurrency is really not a metric that we track that closely anymore, and that's because the nature of usage has changed a lot over the years. I mean if you look back when concurrency really mattered 4 or 5 or 6 years ago, it was because people were using app virtualization on much more of a tactical or project basis and that implied intermittent usage. If you look at where we are today and how customers are thinking about virtualization of the Desktop, it tends to be much a part of infrastructure. And that can be either delivering a large set of applications across the organization or it could be simply replacing a physical Desktop with the virtual Desktop. Or in many cases, it's the -- in addition to story, which includes enabling mobile devices for people that still maintain their physical. And for us, the long-term growth strategy is just about the seeds [ph]. So we're driving licenses across users, across devices and in some cases, across concurrency. But it's certainly less relevant than it has been in the past.
Mark B. Templeton: Kirk (sic) [Phil], the only thing that I would add is that the way we look at concurrency, is it's a licensing model that customers can choose based upon what lines up with their strategic and/or tactical goals. And there are certain types of customers like call centers, like health care providers, et cetera where concurrency is actually a very strategic licensing model that enables their business model, so we see it more that way than kind of a scorecard on penetration these days.
Operator: Your next question comes from the line of Daniel Ives of FBR.
Daniel H. Ives - FBR Capital Markets & Co., Research Division: In terms of the NetScaler 10, just talk about where the -- how you sort of thinking about that product release and just the ramp throughout the second half of the year, what you think that could do to the NetScaler base?
Mark B. Templeton: I'll sort of take the first piece of that and maybe David can add some color around sort of ramp. But NetScaler 10 is, as I mentioned, it's really a huge milestone release of the NetScaler software. And this price scale technology is, we think quite profound, because what we have now is really a product that can go from a very small virtual instance where you're pushing megabits of capacity all the way through and breakthrough of the 1.4 terabyte capacity, which is unprecedented in the marketplace. I think we're first to actually break the 1 terabyte throughput limit. And so this gives us access, angle to every kind of market that's out there from a full range of service providers in their core infrastructure and as part of the service that they offer and enterprises from medium to the world's largest and the full range of dot coms and ecoms that we have serviced so well for so long, because they're looking for more scalable, simpler and easier managed environments. So I think it just gives us a lot more market reach, further differentiates us and gives us a platform for some new innovations coming that we're really, really excited about that we'll hear more about later this year.
David James Henshall: Yes, I would just add that in terms of the actual ramp rate, it's going to be all predicated on what customers have in place in their infrastructure in existing accounts, and then obviously opening up new accounts. And probably a pretty good proxy is looking at FDX, which we've been in the market now 3 full quarters. We're seeing, as I mentioned in my prepared remarks, actual sequential increase of over 20% from Q4 to Q1, representing between 10% to 15% of the mix in just that short period of time. So we're shipping thousands and thousands of boxes each quarter, so we've got a pretty big base out there. And give us a couple of quarters of actuals and we'll come back and kind of give you a little bit more granularity on the mix.
Operator: And your next question comes from the line of Gregg Moskowitz of Cowen.
Gregg Moskowitz - Cowen and Company, LLC, Research Division: Wanted to follow up, Mark, on CloudStack being offered up to Apache. And you spoke about the industry momentum that you expect as a result of this move. When should we look for a commercially supported release, specifically on Apache? And when do you think that this could really start contributing to your financials?
Mark B. Templeton: Gregg, I'd rather reserve the answer to that for Synergy, because we don't want to sort of get into that here. That will be a significant part of the conference conversation. But we really feel good about the momentum we've built. And then it's a process to actually incubate a new project in Apache Software Foundation. And we're working that hard and we'll have more news about that in a couple of weeks, so I'd rather kind of answer your question then.
Gregg Moskowitz - Cowen and Company, LLC, Research Division: That's fine, Mark, look forward to that in 2 weeks. On another note, I've been picking up some really positive buzz around Cisco and their VXI initiative. And I know it's early days, but wanted just to kind of hear, even anecdotally, how the Cisco reselling relationship is going around that.
Mark B. Templeton: Okay. It's actually going quite well. I mean I think we've continued to see the ramp up in the relationship with Cisco on VXI, XenDesktop and actually extending beyond that to be one of the fastest ramp partnerships that we've ever seen. The last one that ramped this fast was our partnership with NetApp, once we got into this core virtualization market. So we're really delighted to see that. I think you will see a lot more energy going toward that coming from Cisco in terms of visibility, et cetera later this year. And we're delighted to be working with them at the front lines on some pretty significant deals.
Operator: Next question is from the line of Steve Ashley of Robert W. Baird.
Steven M. Ashley - Robert W. Baird & Co. Incorporated, Research Division: I'd just like to start with a competitive question around VMware and its ELAs. In the accounts in which VMware has ELAs with Desktop virtualization, is that a place where you have historically done business and maybe more importantly, looking forward -- do you view that as a place you could do business in the future? Or are those just kind of roped off and really not open for you guys to penetrate?.
David James Henshall: Sure, Steve. It's David. I'd say the answer is absolutely, we do business in accounts that have ELAs in place. And most large enterprise have some level of server virtualization already out there. When you look at some of our statistics around XenDesktop being deployed across, whether it's Xen or ESX or Hyper-V or others, a large part of the strategy is just making sure that we are agnostic to that underlying level and we give customers that ability to choose, so that they don't feel like they're locked in to a specific platform and give them the most powerful, best-performing solution for what they're really trying to accomplish. The flip side of that, of course, is when you're selling into a large bundled transaction that is driven by account control or bundled pricing or something, that's probably a little bit more challenging. But overall, we are extremely happy with the win rates that we see across the board for XenDesktop. They really haven't changed over the last couple of quarters. I know we've talked about those in the past and it continues to be a very competitive market. And I think that's actually really good for a long-term growth of the entire industry.
Steven M. Ashley - Robert W. Baird & Co. Incorporated, Research Division: And then a question on XenApp license. I know you're not going to give us specific numbers, but I was wondering if you might be able to qualitatively tell us some color on whether it was up or down year-over-year in the period?
David James Henshall: Steve, I'm actually not going to give you the details, simply because it's not -- it doesn't really matter to us. And I don't want to keep encouraging people to dig into the individual components so much. But overall, the thing to look at is just the combined license, which was up 17% coming off of a number of quarters last year, they were also in the high teens. The majority of the growth in deferred revenue is related to Desktop. And so, all the metrics continue to be very positive on that front.
Operator: And your next question comes from the line of Kash Rangan.
Kash G. Rangan - BofA Merrill Lynch, Research Division: I noticed that it's a little hard to compare versus a year early because you've restated some of your numbers. But it looks like you've outperformed on the license update, so I'm just wondering what drove that? And how sustainable might that, what looks to be, catch-up maintenance growth rate?
David James Henshall: Sure, Kash. You're right. The underlying component around license update did accelerate into the mid-teens, and it was certainly slower than that last year. Throughout all last year, we talked about the lag effect that Subscription Advantage has from new license sales. And as we have been able to accelerate licenses over the last, let's say, 8 quarters or so, you're starting to see that catch up now in subscriptions. And so that's been a nice positive driver. But to reiterate why we've combined both of those is, frankly, to align with how we're going to market. We've taken a much more focused, call it, lifetime approach or lifetime value approach to the customer. And we're now offering holistic software maintenance and hardware maintenance that will include what used to be Subscription Advantage, just upgrading licenses, as well as comprehensive tech support solutions. So over the long term, this allows us to stay much closer to customers and should actually help drive this line as we see higher and higher adoption of those solutions.
Kash G. Rangan - BofA Merrill Lynch, Research Division: Got it. David, also there was a nice out performance on the deferred revenue side up 22% -- $23 million sequentially. It looks like a lot of that debt was driven by XenDesktop. When this comes to revenue recognition, will it show up as update or licenses?
David James Henshall: Sure, Kash. Yes, just on deferred revenue, I mean we didn't talk too much about this in the prepared remarks. But look at the delta between the short term and long term, and that's really representative of the overall trends that we see from a customer engagement standpoint. In fact, long-term deferreds are up 45% year-on-year. And that's a continuation of a lot of customers looking to buy either long-term term-based licenses, which we have a few and those get recognized back through license. Or in many cases, multiple years of maintenance or subscription. And those will come back through the license update maintenance line. So there's not a percent breakout that I would give at this point in time. It just really depends quarter-to-quarter on how those deals are structured.
Operator: Your next question comes from the line of Walter Pritchard of Citigroup.
Walter H. Pritchard - Citigroup Inc, Research Division: Mark, I'm wondering if you could talk a bit about what effect the happenings at Microsoft are having on your business? We note that you've got the Windows XP end of life in the spring of 2014. And so that's one question. And related to that, we saw recently that Microsoft had -- to date is planning on adding an additional license called the companion device licensing for using Desktops on non-Windows tablets. And I'm wondering, just overall, how you're thinking about the impact of Microsoft on this Desktop Virtualization business at this point in time?
Mark B. Templeton: Sure, Walter. So first, the expiration of Windows XP is driving a lot of consideration around how to deliver the next-generation Desktop, whether it's Windows 7 or Windows 8, whether it's kind of a legacy or legacy-oriented from a design point of view, Windows 32, apps or even browser apps that are really built to take advantage of IE. So all of that is actually good push and the clock is counting down, and I think positive overall for the classic business that we've had around apps and Desktop and actually helps the AppDNA kind of acquisition that we've made in Q4. More prospectively in looking forward, what Microsoft is doing in server and at the client in the cloud and in the systems management area, we're plugging into all of that as part of the new platform that's built around the Windows 8 architecture and model. So we think actually that we'll continue to leverage all of that as we always have, and take advantage of something that's new, and that is Microsoft is really much more involved and supportive of the notion of virtual desktops and apps, which will grow the primary market in a way that it hasn't before. And obviously, with the right value ads, strategies and partnering, we'll be able to grow right along with that. We're pretty excited about it and will talk more about that at Synergy. As far as the CDL license, this is just new, kind of just getting out there. I think there are a few interpretations of it out on the Internet. And I'd rather not interpret it here for you until we actually understand it better. Certainly, Microsoft is thinking hard about how to bring virtual desktops, virtual apps into more of a mainstream and primary market and do that in a way that complies with licensing in their business model and so forth, which we have always been fully supportive of. And we've been kind of through multiple cycles and gen eras of licensing around virtual desktops and apps with Microsoft. And it usually results -- the way it usually happens is everyone's negative on the front end and then everyone figures out kind of how to leverage it in the end and make it a positive. And my guess is this will be a similar sort of thing.
Steven M. Ashley - Robert W. Baird & Co. Incorporated, Research Division: Great. And then David, just on the online or I guess you're calling this software as a Service business now, those growth rates have accelerated over the last 5 quarters here, I think after seeing some slow down. And you've also done some M&A there. So I guess what I'm trying to figure out is, is this 20% growth rate based on the mix of that business now with collaboration more -- Is that more of a sustainable growth rate? Or are we simply seeing some M&A benefits here that may subside as we get into the coming quarters?
David James Henshall: Yes, I think we've got a number of sustainable businesses in there and the big drivers are going to be -- certainly the collaboration business, which we talk a lot about, GoToMeeting, GoToTraining, GoToWebinar, et cetera, being the biggest component there. And that's growing close to 30%. And followed by the IT Services business, which is really GoToAssist, that's kind of a mid-teens grower, and then, of course, with remote access and cloud being more of a mature market. The new markets that you talked about around data sharing is starting to contribute and it will be a ramp as we get through the year. So I think the way to think about the actual growth rates is probably mid- to high-teens as for the full year and then depending upon how quickly we're able to ramp the data sharing business, we may be able to accelerate that.
Operator: Your next question is from the line of Mark Moerdler of Sanford Bernstein.
Mark L. Moerdler - Sanford C. Bernstein & Co., LLC., Research Division: Two questions for you. The first is any sense now, I know we've had, historically, this question of license overhang from licenses that were purchased in substantial numbers and then are in the process of being implemented. Any sense of how you're doing in terms of the deployment of those?
David James Henshall: Mark, I don't think we have great data in terms of -- in the aggregate of how many licenses are purchased and deployed in the timescales. But surely on every large transaction we've got, our services people working hand-in-hand with customers to make sure that licenses are getting deployed and being successful in rolling them out. And we understand how the projects are going. The best metric we have around that is we look at reorder rates, that's something that we've looked at and the time to reorder. And the measurement there is simply when a customer makes an initial large purchase, how long does it take before they come back for a subsequent one. That has moved around anywhere from about 6 to 8 months. And I think that's probably the way to think about it, and obviously that's longer as the deals get much, much larger and now that we've got a growing number of customers north of 10,000 seats, we've got a lot of big deals out there. So we're working on it, and I think that's about it.
Mark L. Moerdler - Sanford C. Bernstein & Co., LLC., Research Division: So it's still staying within roughly the same range?
David James Henshall: Yes. I think so. The only other thing I'd add on top of that is that the idea of like ELA-type transactions, while we are doing a number of large deals, those are certainly the exception for us. I mean, our large deals are typically customers have a specific identified project that they want to execute against. And it just happens to be for a very large number of users, more so than taking down an all-you-can-eat type arrangement. So that's pretty consistent with where we've been in last few years.
Mark L. Moerdler - Sanford C. Bernstein & Co., LLC., Research Division: Second quick question. Any feedback -- I know you've made changes in terms of the sales channel structure at the high-end of clients. Any feedback on the success of that as well as the sense from the channel in terms of whether there's been push back?
Mark B. Templeton: Yes, Mark. I think we actually have continued to evolve our channel programs in a very, very consistent way. And that is to reward channel partners who are there in the marketplace, really delivering solutions and stimulating demand, and really engaged in the process and doing less and less to reward kind of harvesting. And I think that's it. And in exchange for that, what we're doing is investing much more energy in managing those partners that are doing those kinds of things. So they're actually -- it's an upward spiral. They make more money because they get more of our focus and they get more rewards for doing the things that they're actually very competent at, and that is driving demand and solutions. So that's really the nature of what we've done. And maybe David can add some little color around this.
David James Henshall: No. I would just add, we introduced the concept of high touch accounts and we've been investing a lot in ERMs, corporate account managers across the globe. And this is a way for us to frankly not double comp from a financial perspective, but also get people focused, as Mark said, on driving core demand, not necessarily selling alongside of Citrix or harvesting any existing accounts but really driving brand new demand. So that's where most of these changes took place. We also made a few minor tweaks to our, we call our, Subscription Advantage agency fee and that is, we lowered it in a couple of areas and used those funds to reinvest in driving other core initiatives. So when you hear of channel changes and what not, you should think of those as simply tools, tools that we're using to turn the dials in terms of our current business initiatives. And generally, it's not a net cost reduction or as we call it, a channel benefit reduction, it's simply a reallocation.
Operator: The next question comes from the line of Brent Thill of UBS.
Brent Thill - UBS Investment Bank, Research Division: David, just back on the deferred, obviously, one of the better growth year-on-year quarters you've had in a while. Are you seeing some of the contract terms elongate given the large deal accounts starting to get not much bigger where you're seeing your average contract term now lengthening.
David James Henshall: Well, I'd say not lengthening an average contract. Most contracts are still a year. The large deal contracts are the ones that do tend to be sometimes 2, 3 or 4 years in duration but not enough of a material change right now. I think it's going to track relatively closely to large deals. And I talked about those earlier what we did in the aggregate, 28 deals over $1 million in Q1, which compares to 14 a year ago. So the trend is certainly up and to the right. And because of that, I think you'll see a continued growth in long-term deferred. And it will be growing at a percent that it was in Q1, I would expect, but it's really a trend that's happening. And I'm not sure I'd add much more beyond that. That's something we'll continue to talk about each quarter. And just some reflection of the more strategic nature of the business.
Brent Thill - UBS Investment Bank, Research Division: Okay. A quick follow-up for Mark on NetScaler 10. Are there any new markets that you feel this is going to open up? And if you could just comment maybe a little bit about the service provider market and what you're seeing in that end market?
Mark B. Templeton: Yes, Brent. I think it does give us incremental reach directly into carrier networks, as well as into the expansion in the service provider space. And again, the notion, core notion of tri-scale includes the service delivery platform that can consolidate the higher-level set of delivery services, not only the ones that we provide, but delivery services that our ecosystem partners provide around analytics, security, mobile data, some other kinds of functions that are important to carriers. So I think it does give us incremental reach. And we'll will do some more in that -- some more to actually amplify the reach that we get to telcos and carriers, as well as just infrastructure to the service providers as well.
Operator: And your next question comes from the line of Michael Turits of Raymond James.
Michael Turits - Raymond James & Associates, Inc., Research Division: Guys, couple questions. First, this time last year you gave us the target for what Desktop license that you thought would grow for the year. Obviously, you put up a good quarter there. Any thoughts now in terms of that trend? Do you feel like this is a year in which you have acceleration in that? And just given the [ph] target and any visibility at this point this year?
David James Henshall: Sure, Michael. We haven't really broken up the various line items of revenue right now. But I think that coming off of a good Q1, up 17% year-on-year, and last year we were up almost 20%, and we feel like this is certainly a business that is becoming very material. And while we do have hard comps, as we enter the back of the year, I think the early read would will be somewhere in the kind of low to mid teens, and we know we'll update that as we go through the year.
Michael Turits - Raymond James & Associates, Inc., Research Division: Okay. And then one question on the license update and maintenance. The 19% is for group overall, is that something that we felt like should headed to the teens as all that licenses rolled in. Any reason not to think that one's sustainable?
David James Henshall: Yes, I think we had a huge growth in deferred in Q4 and some of that is bleeding back in. So the baseline goes up. But as far as overall growth rates, it's probably in the mid-teens from license updates for this year.
Michael Turits - Raymond James & Associates, Inc., Research Division: Okay. And then how [indiscernible], is any inorganic revenue?
David James Henshall: In the license update and maintenance line? No.
Michael Turits - Raymond James & Associates, Inc., Research Division: No. I'm sorry. In revenues overall this quarter. I may have missed it earlier.
David James Henshall: There's a little bit. I mean, I think the acquisitions that we did in the back half of last year, just to kind of remind everybody, the way that we had talked about those, the solution for those businesses over the first half of the year was about $0.10 from an EPS standpoint and that's because we're taking a lot of brand new nation businesses and we're building out everything from sales overlay teams, engineering teams to drive integration and core development and all the other ancillary parts and ramping those pretty rapidly right now. And I think by the time we exit Q4, we'll be on an annualized revenue run rate of north of $50 million. And by that point, at least neutral and probably accretive EPS.
Operator: And your next question comes from the line of Ed Maguire of CLSA.
Edward Maguire - Credit Agricole Securities (USA) Inc., Research Division: I noticed that the Pacific region was notably strong. Could you comment on what may be behind that? And also, Dave, you had mentioned you're looking to accelerate your hiring. Maybe some color there in terms of where you're planning to up your investments over the last quarter or so.
David James Henshall: Sure, Ed. In terms of APAC and Japan, or Pacific and Japan, I mean both of those regions continue to just have a terrific execution. I mean we've got great teams there. We've got early markets like China and India and others that are growing significantly faster than the overall business right now, we provide a lot of long-term opportunity. We've also been investing a lot in terms of just overall capacity there. So we're bringing on board lots of people to service accounts locally, whether that is from a support standpoint, customer facing engagements, et cetera, and are going to continue to do that because there's just a lot of opportunity there. And I expect to have, as I said in my prepared, to continue to outgrow the market for at least the balance of this year. Sorry, can you repeat the second part of your question?
Edward Maguire - Credit Agricole Securities (USA) Inc., Research Division: Just you mentioned you're looking to accelerate you're hiring because it was off to a bit of a slow start in the first quarter. Just where you're hoping to invest geographically and in product lines?
David James Henshall: Got it. Yes, we hired about 140 people in the quarter, bringing our total headcount to actually 7,075 people across the company right now. That hiring was lower than we had in our original plan. But a number of people have actually accepted offers. They're going to be starting in early Q2. We expect that the pace is going to be able to pick up as we go into Q2 and probably early Q3. The places that, that hiring is going are all the identified areas that we've talked about in the past -- a lot of focus on GoToMarket coverage. We do feel like we're capacity constrained in a number of areas around the world. In customer support, make sure that we are transferring the right level of knowledge to be able to support customer deployments as well as post-deployment support. And then of course across various elements of innovation, whether those are the new businesses that we're just ramping up or whether it's in just core innovation to drive integrations across our products, leveraging simplicity and solution approach, et cetera or new innovation, so across-the-board in all those different spaces.
Operator: And your next question comes from the line of Richard Sherlund of Nomura.
Richard G. Sherlund - Nomura Securities Co. Ltd., Research Division: A question on the pipeline relating to XenDesktop. I'm kind of curious if there's like a bulge going through the pipe, where a lot of deals might be coming up for a decision or is it more linear? And kind of relating to that, if you could just chat a moment about the sales cycle on XenDesktop, kind of where are we? Have we gone past the evangelism stage? And is the sales cycle getting shorter? I'm just curious, do more go to pilot, or if they are bigger deals, do they not need as extensive a pilot? Just some appreciation for that would be helpful.
David James Henshall: Sure, Rick. Let me take the second part of the question. In terms of just the overall sales cycle, I think it's safe to assume that every large deal out there is first, a competitive deal, and so you generally have us and some other technology tilted up side-by-side as the customer goes through more of a functionality approach. And then, some level of proof of concept. I mean that's generally the pattern that every customer is going to go through. And so as far as total cycle times, it just depends on so many different factors. I'd say an existing account, it can be very short, measured in a matter of weeks up through several quarters for a large new customer. In terms of looking at whether we're in an evangelical space or what not, the news is we've got thousands of accounts now that are out there running XenDesktop in deployment. We've got hundreds that are in the multi-thousands, and we've got references across every geo and I believe every major vertical out there. So it's not like it's a brand-new technology anymore. It's much more a function of just getting it in front of a customer, helping them understand how to deploy and then focusing on ramping that long term. In terms of the pipeline, I don't think there's a bulge in the pipeline, pent-up demand or anything along those lines. I mean pipeline and pipeline creation is something that we just focus on day in and day out across the globe, building new opportunity pipeline and working that through the chain. I will say that the one kind of unique thing in the pipeline, which by the way has continued to grow in the aggregate pipeline creation and coverage ratios are strong. But the one unique thing is probably around the larger deals. That is what we see more and more and more of over time. And so the number of identified million dollar plus opportunities is effectively a record each and every quarter. So that's consistent with all the other dynamics that we've seen in this business.
Richard G. Sherlund - Nomura Securities Co. Ltd., Research Division: And is Windows 7 helping or hurting? Is it causing some distraction right now where people feel like they -- with end-of-life coming for XP, they've got to focus on getting Windows 7 in place and later, they'll come back and consider the infrastructure? Or is it actually helping?
David James Henshall: I'd say it's definitely helping. I mean it initiates the conversation around the Desktop infrastructure, and that's the time when you have a great opportunity to talk about whether that is physical or virtual. And we also participate pretty actively in migrations, to help customers understand how their app portfolio is going to perform across different platforms, et cetera. So it's been identified as a driver in some of our larger transactions, and it's certainly a driver for just overall conversations and opportunity.
Operator: And your next question comes from the line of Derrick Wood, Susquehanna Financial.
James Derrick Wood - Susquehanna Financial Group, LLLP, Research Division: A couple of questions on the Desktop business. I'm not sure if you're still giving this, but if you are, what was the change in deferred revenue from the Desktop business?
David James Henshall: We didn't really give that out. But we did say that the majority of the change was related to the Desktop business.
James Derrick Wood - Susquehanna Financial Group, LLLP, Research Division: And then second on the 5.5 release, I think it was last December, that included the RingCube technology, I was hoping to get some feedback on kind of what customers are saying and how does this impacting your pipeline. Then lastly, if I could just squeeze this in there from a high-level perspective, I mean, is there anything that suggests we are starting to hit more of an inflection point in adoption of Desktop Virtualization? Or should we really still think of it as a continued gradual rise as we've seen over the last couple of years?
Mark B. Templeton: Yes. I'm going to stick by the point that there's no such thing as an inflection point in enterprise IT, and I've said that quarter in and quarter out, because I think the dynamics needed to really ramp these businesses are -- they're fairly labor-intensive. That includes just our ability to train partners, our ability to the hire consultants, our ability to have the customers have the appropriate level of knowledge and guidance to ramp. So I do think it's a gradual process. I mean, we're talking about very, very big numbers now. So I mean this has rapidly become a quite a real market, and we think a lot of headroom is still out there. In terms of the 5.5 and the overall release, we've got very positive feedback from it. I'm not sure I have any specific statistics around RingCube per se, but when you look at the reasons why we're winning, the regions reasons why customers are engaging and the types of deployments, those are really unchanged. The 5.5 release had so many advancements in everything from performance, scalability, management and then, of course, cost. I mean, cost is one that we're bringing it down, as Mark talked about earlier, below the cost of physical in many cases, and RingCube is a core element of that. So we're on to version 5.6 now and stay tuned for what's coming.
Operator: Ladies and gentlemen, we have reached the time allotted for questions. Are there any closing comments?
Mark B. Templeton: Thanks. So, just a couple of closing comments. First, thanks for the kind words that a number of you said, and we're pretty excited about our performance, as you can tell. We're confident about what we're doing from here into the future, so please come to Synergy. If you can come, pay attention to what we have to say, and I hope to see you in the next 3 months where we'll have another report. And until then, take care.
Operator: Ladies and gentlemen, this does conclude today's conference. Thank you for your participation. You may now disconnect.